Operator: Good day, and thank you for standing by. Welcome to the Q3 2021 SLR Investment Corp. Earnings Call. [Operator Instructions]. I would now like to hand the conference over to your first speaker today, Michael Gross, Chairman and Co-CEO. You may begin, sir.
Michael Gross: Good morning, and thank you. Welcome to SLR Senior Investment Corp.'s earnings call for the third quarter ended September 30, 2021. I'm joined here today by Bruce Spohler, our Co-Chief Execute Officer; and Richard Peteka, our Chief Financial Officer. Rich, would you please start off by covering the webcast and forward-looking statements.
Richard Peteka: Of course. Thanks, Michael. I'd like to remind everyone that today's call and webcast are being recorded. Please note that they are the property of SLR Senior Investment Corp. and that any unauthorized broadcasts in any form are strictly prohibited. This conference call is being webcast from the Investors tab on our website at www.slrseniorinvestmentcorp.com. Audio replays of this call will be made available later today as disclosed in our press release.  I would also like to call your attention to the customary disclosures in our press release regarding forward-looking information. Statements made in today's conference call and webcast may constitute forward-looking statements, which relate to future events or our future performance or financial condition. These statements are not guarantees of our future performance, financial condition or results and involve a number of risks and uncertainties, including impacts from COVID-19.  Past performance is not indicative of future results. Actual results may differ materially as a result of a number of factors, including those described from time to time in our filings with the SEC. SLR Senior Investment Corp. undertakes no duty to update any forward-looking statements unless required to do so by law. To obtain copies of our latest SEC filings, please visit our website or call us at 212-993-1670.  At this time, I'd like to turn the call back to our Chairman and Co-CEO, Michael Gross.
Michael Gross: Thank you, Rich. SLR Senior Investment Corp.'s third quarter results benefited from both portfolio expansion and strong fundamentals. Net asset value per share for the quarter ended September 30 was $15.73 and net investment income was $0.23 per share. Throughout the third quarter, the U.S. economy grew at a steady rate and presented a favorable backdrop for private equity deal activity, which continues to occur at a record pace.  Elevated sponsor-driven M&A activity and the gradual tapering of government's stimulus measures is increasing the opportunity set for SUNS to deploy capital across its cash flow and ABL investment verticals.  During the third quarter, SUNS and subsidiaries funded $93 million of investments and committed an additional $40 million, which we expect to fund in future quarters. Many of SUNS' new cash flow investments were in large upper middle market companies, which was made possible by the scale of SLR's platform. SLR's scale, which allows SUNS to participate in the larger transactions, which we believe are best positioned to protect capital.  At September 30, over 99.9% of our comprehensive investment portfolio at fair value was invested in first lien loans and approximately 59% of those loans consisted of loans in our specialty finance verticals. At September 30, SUNS' debt-to-equity on a net basis was 0.55x, and approximately 54% of SLR Senior's funded debt was comprised of unsecured term notes.  We have over $265 million of available capital to support future earnings growth. Importantly, the economic climate has improved considerably, and our pipeline across our business verticals is very attractive. We expect portfolio growth to continue in the coming quarters from first lien cash flow as well as asset-based investment opportunities.  SUNS is in a unique position to allocate capital across a diversified lending strategy to the most favorable risk-adjusted return investments. We are confident in our ability to grow the portfolio while remaining disciplined in our underwriting.  At this time, I'll turn the call over to our CFO, Rich Peteka, to take you through the third quarter financial highlights.
Richard Peteka: Thank you, Michael. As for Senior Investment Corp.'s net asset value at September 30 was $252.4 million or $15.73 per share. This compares to a net asset value of $254.8 million or $15.87 per share at June 30, 2021. As for Senior's balance sheet, investment portfolio at September 30, 2021, had a fair market value of $389 million in 51 portfolio companies operating in 21 industries compared to a fair market value of $382.9 million in 47 portfolio companies operating in 18 industries at June 30, 2021.  In addition, as of September 30, 2021, the company had unfunded loan commitments, excluding revolvers of approximately $61 million. Turning to SUNS' funding profile and leverage. At September 30, 2021, SUNS had $157.7 million of debt outstanding with a net debt-to-equity ratio of 0.55x, up from 0.51x at June 30, 2021. At September 30, approximately 54% of SUNS' total debt and 62% of its net debt was in the form of unsecured 3.9% fixed rate notes. When including the nonrecourse credit facilities at SRL Healthcare ABL and SLR Business Credit, SLR Senior had approximately $266 million to fund portfolio growth at September 30, 2021, subject to borrowing base limits.  As a reminder SLR Senior's current target leverage ratio is 1.25x to 1.50x net debt to equity. From a P&L perspective, gross investment income for the 3 months ended September 30, 2021 totaled $7.4 million compared to $7.5 million for the 3 months ended June 30, 2021. Expenses for the 3 months ended September 30, 2021 were $3.7 million compared to $3.6 million for the 3 months ended June 30, 2021.  Net investment income for the quarter ended September 30, 2021, with $3.7 million or $0.23 per average share as compared to $4 million or $0.25 per average share for the 3 months ended June 30. Below the line, SLR Senior had net realized and unrealized losses for the third fiscal quarter of 2021 of $1.3 million compared to net realized and unrealized gains of $0.3 million for the 3 months ended June 30. Accordingly, SLR Senior had a net increase in net assets resulting from operations of $2.5 million or $0.15 per average share for the 3 months ended September 30, 2021. This compares to a net increase in net assets resulting from operations of $4.2 million or $0.26 per average share for the 3 months ended June 30.  Lastly, our Board of Directors declared a monthly distribution for November 2021 of $0.10 per share payable on December 2, 2021 to stockholders of record on November 18, 2021.  And with that, I'll turn the call over to our Co-CEO, Bruce Spohler.
Bruce Spohler: Thank you, Rich. We continue to focus on expanding our asset base and cash flow lending businesses. The combination of these 2 strategies enables SUNS to act as a solutions provider to middle market companies and offers us multiple avenues for portfolio growth. SUNS' comprehensive portfolio totaled $612 million at quarter end and was highly diversified, encompassing over 220 borrowers across 100 industries.  Approximately 60% of our portfolio was invested in senior secured asset-based and life science lending strategies, and the remaining 40% was in senior secured cash flow loans. Across SUNS' entire portfolio, our largest industry exposures were digital media, healthcare providers and insurance services. The average investment per borrower was $2.7 million or less than 0.5% of the portfolio.  At quarter end, approximately 100% of the portfolio consisted of senior secured first lien loans with no second lien loan exposure and a de minimis amount of equity. At quarter end, our weighted average asset level yield on the total portfolio was 9.6%. By having approximately 59% of the portfolio allocated to our commercial finance verticals, we've been able to maintain attractive asset-level yields above 9.5% despite low LIBOR reference rate and spread compression in the marketplace.  At September 30, the weighted average investment risk rating of SUNS' portfolio remained at 1.9 based on our 1 to 4 risk rating scale, with 1 representing the least amount of risk. One loan was on nonaccrual at quarter end, which amounted to just over 1.5% of our total portfolio. Including activity across our 4 business lines, originations for the third quarter totaled $93 million and repayments were $50 million. Now let me provide an update on our investment verticals. Cash flow. At quarter end, our cash flow portfolio was $250 million or approximately 40% of the total portfolio. It was invested across 38 borrowers with an average investment of just over $6.5 million. 100% of the portfolio is first lien exposure. SUNS' portfolio companies had a weighted average EBITDA in excess of $100 million, reflecting our preference to finance larger companies in the upper mid-market. The weighted average yield of this portfolio was 6.6%.  During the third quarter, we originated $46 million of first lien senior secured cash flow loans and had repayments of approximately $40 million. At quarter end, we had unfunded commitments of $44 million, which we expect to be drawn in future quarters to fund portfolio growth. We believe these delayed raw acquisition lines offers a prudent opportunity for SUNS to grow its investment and establish credits with existing financial covenant packages. By stepping into an existing facility with shorter duration, we believe the yield to maturity is enhanced. We are encouraged that sponsor activities picked up this year with significantly higher volumes of M&A. We expect momentum to continue through the remainder of this year, which we believe will provide opportunities to invest in attractive, resilient, upper mid-market borrowers.  Now let me turn to our asset-based lending businesses. As a reminder, SUNS owns 2 commercial finance portfolio companies that specialize in making senior secured asset-backed loans, collateralized on a first lien basis by accounts receivable. These businesses led to small and midsized U.S. companies, who typically have limited access to traditional bank financing. Now let me provide an update on each of them. Business Credit. At quarter end, Business Credit portfolio had grown to $253 million or 41% of SUNS' total portfolio consisted of 138 borrowers with an average investment of just under $2 million. Utilization rates on Business Credit's facilities have been lowered during COVID due to many of their borrowers benefiting from government stimulus programs and using these proceeds to pay down their facilities with Business Credit. As government stimulus measures have begun to taper, borrowers have started to redraw on these lines of credit.  Last quarter, SLR Business Credit acquired FastPay, a digital media factoring platform. The integration is proceeding smoothly, and it has expanded Business Credit's origination capabilities. Pipeline remains strong, driven both by improved utilization rates of existing facilities as well as new investment opportunities. For the quarter, Business Credit paid SUNS a dividend of $1.5 million, which is a 19% increase over the prior quarter. Now let me turn to Healthcare ABL. Their portfolio was $87 million, which represents 14% of SUNS' total portfolio. It was comprised of 38 borrowers with an average funded investment of just under $2.5 million. Portfolio remains 100% performing with no payment defaults since the start of COVID, and many of their credits are cash-collateralized. The weighted average asset level yield of this portfolio was 11.25%.  During the third quarter, Healthcare ABL funded $16 million of new investments and had repayments of just $3 million. Similar to Business Credit, stimulus programs enacted last year enabled their borrowers to significantly reduce the funded balances under their lines of credit. These stimulus programs have begun to roll off, which should result in their customers drawing down more in the facilities that Healthcare ABL provides.  For the quarter, Healthcare ABL paid cash dividend to SUNS of $0.9 million, consistent with the prior quarter -- I'm sorry, that's $0.9 million. Life Science finance. Now let me turn there. At quarter end, our portfolio was approximately $23 million across 7 borrowers. For the quarter, we experienced repayments of about $4 million, which generated over 13% unlevered asset-level IRR. At quarter end, the weighted average yield on the Life Science portfolio was approximately 10%, which excludes any excess fees and warrants. While Life Science loans represent 4% of SUNS' portfolio, these assets generated 9.5% of our gross investment income for the quarter.  Overall, we believe SUNS is well positioned to take advantage of an improving economy and a robust opportunity set across all verticals. SLR Capital Partners' diversified platform and significant dry powder enables us to provide structured solutions, including both cash flow and asset-based loans. Given the strength of our fourth quarter pipeline, we expect to experience similar portfolio growth this quarter.  Now let me turn the call back to Michael.
Michael Gross: Thank you, Bruce. Since inception, our priority has always been to construct a portfolio that seeks to generate steady income for our stockholders or protecting capital. With the economic rebound in full swing, we remain disciplined in the face of a tight pricing environment, elevated leverage and loose structures, all of which have increased the risk and middle market cash flow lending over an extended period of time.  As a result, we have positioned SUNS defensively, diversified our portfolio across cash flow and specialty finance, first lien senior secured loans to manage downside risk and to preserve liquidity. While multiples on leverage in the middle-market direct lending remain near all-time highs, the economy is in the midst of a strong recovery, and we are seeing a broader set of attractive investment opportunities.  With over $266 million of available capital and a strong foundation given our defensive portfolio and low fund level leverage, we believe SUNS is well positioned to capitalize on the significant increase of attractive opportunities across all of our business verticals. Elevated levels of yield activity should continue as financial sponsors capitalize on the support of economic backdrop to continue deploying record levels of dry powder, and smaller businesses seek out alternative lenders to finance their working capital and growth initiatives.  SUNS' commercial finance portfolio companies continue to evaluate tuck-in opportunities to grow the businesses, and we continue to actively look for equity investment opportunities in niche specialty finance companies.  Finally, our investment advisers' alignment of interest with the company's stakeholders continues to be one of our guiding principles. Through significant SUNS' share purchases since inception, the SLR team owns approximately 7% of our outstanding common stock. Additionally, the investment team has a significant percentage of their annual compensation invested in SUNS' stock Management investment, alongside fellow SUNS' shareholders, demonstrates our confidence of the company's defensive portfolio, stable funding, strong liquidity and favorable position to make new investments.  We hope that all of you are in good health, and we'd like to thank you for your time and support today. Operator, please open the line for questions.
Operator:
Michael Gross: Thank you, operator. We thank all of you for participation today. As always, if you have any follow-up questions, please feel free to contact any of us or Richard Pivirotto. Take care, everybody.
Operator: This concludes today's conference call. Thank you all for participating. You may now disconnect.